Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2014 PerkinElmer Earnings Conference Call. My name is Tony, and I will be your operator for today. [Operator Instructions] I would now like to turn the conference over to Mr. Tommy Thomas, Vice President of Investor Relations. Please proceed.
Tommy Thomas: Thanks, Tony. Good afternoon, and welcome to the PerkinElmer Second Quarter 2014 Earnings Conference Call. With me in the call are Rob Friel, Chairman and Chief Executive Officer; and Andy Wilson, Senior Vice President and Chief Financial Officer. If you have not received a copy of our earnings press release, you may get one from the Investors section of our website at www.perkinelmer.com. Please note that this call is being webcast live and will be archived on our website through August 14, 2014. Before we begin, we need to remind everyone of the Safe Harbor statements that we have outlined in our earnings press release issued earlier this afternoon and also those in our SEC filings. Any forward-looking statements made today represent our views only as of today. We disclaim any obligation to update forward-looking statements in the future, even if our estimates change. So you should not rely on any of today's forward-looking statements as representing our views as of any date after today. During this call, we will be referring to certain non-GAAP financial measures. A reconciliation of the non-GAAP financial measures we plan to use during this call to the most directly comparable GAAP measures is available as an attachment to our earnings press release. To the extent we use non-GAAP financial measures during this call that are not reconciled for the GAAP -- to GAAP in that attachment, we will provide reconciliations promptly. I am now pleased to introduce the Chairman and Chief Executive Officer of PerkinElmer, Rob Friel. Rob?
Robert F. Friel: Thanks, Tommy. Good afternoon, and thank you for joining us today. PerkinElmer once again achieved good performance in the second quarter. We increased adjusted earnings per share by 16%, expanded operating margins by 110 basis points and generated strong cash flow. We grew organic revenue by 2%, which was lower than our expectations going into the quarter, largely due to several market headwinds we encountered, which resulted in an overall slower growth environment than we anticipated. Specifically, our business in Asia was negatively impacted by timing-related issues in China, and we experienced a weaker-than-expected global academic demand. In addition to the solid financial performance in the quarter, we continue to make progress on our key strategic priorities, including the introduction of a number of innovative new products, creating even greater customer value throughout our end markets. Before Andy covers our second quarter financial results in more detail, I would like to highlight some of our recent accomplishments in expanding our core capabilities of detection, imaging and informatics. In detection, we launched several new technologies, including the LabChip GX Touch, which enhances the genomics research process through nucleic acid quantification; and the GXII Touch, which provides better protein quantification to help accelerate biotherapeutic drug development. We also debuted the EnSight Multimode Plate Reader, the first of its kind to offer labeled and label-free detection, together with well-imaging technology on a single benchtop system. EnSight will enable researchers to generate more predictive results earlier in the drug discovery process. During the second quarter, we also launched Elm, an evolution of our detection capabilities that leverages our expertise in environmental monitoring to help transform how air quality is understood. Elm is an innovative air monitoring service that provides local real-time air quality analysis for individuals, smart cities and sustainable communities, opening up adjacent markets outside the lab. Turning to imaging. We were excited to announce our partnership with Sophie BioSciences to exclusively commercialize and sell benchtop PET X-Ray and 3-dimensional CT imaging systems. PET imaging is an essential preclinical research tool for understanding biology of disease, biological impact of drugs and clinical translation. I would like to emphasize that clearly, it's just -- it's not just the power of our discrete capability that differentiates PerkinElmer. Rather, as customer needs cross our markets and applications and as our portfolio expands with even more breakthrough innovations, it is the intersection of our capabilities that will drive the greatest value. Our recent announced partnership with Australia's Monash Institute of Pharmaceutical Sciences is a prime example of how leveraging both our detection and imaging solutions can be the deciding factor behind a customer success. The institute will establish Australia's first translational pharmaceutical science research lab using PerkinElmer's AxION iQT mass spec instrument, our new EnSight Multimode Plate Reader and the JANUS workstation to support the development of new medicines and provide world-class training at the pharmaceutical sciences. Additionally, as we build up our informatics capabilities and bridge those across our entire product portfolio, we were actively carving on new possibilities to offer customers unique value-added solutions for a variety of applications. One of our latest informatics offerings, for example, is the High Content Profiler powered by our Spotfire visualization software. It provides automated high throughput and high content data analysis in a single platform that can be combined with our instruments for better phenotypic screening and biological research and drug discovery. So to recap the first half, despite a slightly lower growth environment than we had originally forecast, we feel good about where we are at this point in the year. We delivered nearly 4% organic growth, 160 basis points of margin expansion and EPS growth of 22% during the first half of 2014. And we are on track to deliver on a robust list of new product launches. As we look to the second half, we are assuming that conditions within our markets will mostly remain unchanged. And we remain confident in our ability to deliver our previous full year commitment of mid single-digit organic revenue growth and adjusted EPS of $2.42 to $2.46, which represents growth of 15% to 17% over 2013. I would now like to turn the call over to Andy.
Frank A. Wilson: Thanks, Rob, and good afternoon, everyone. As I've done in the past, I'll provide some additional color on our end markets, a financial summary of our second quarter results and details around our third quarter and full year 2014 guidance. Then, we'll open up the call for questions. Reported revenues for the second quarter increased by 3%, while adjusted and organic revenues both increased by 2%, with essentially no top line impact from acquisitions or foreign exchange. Adjusted revenues were $557 million as compared to $544 million in the second quarter of 2013. By segment, organic revenue in our Human Health business grew 1%, while organic revenue in our Environmental Health business grew 2%. Looking at our geographic results. Organic revenue increased mid-single digits in the Americas, low single digits in Asia and declined low single digits in Europe due largely to the timing of academic funding and a difficult prior year comparison. In China, organic revenue increased high single digits despite the deferral of a number of tenders in the quarter due to government funding delays, resulting from state-mandated internal reorganizations. From an end market perspective, our Human Health business represented approximately 55% of reported revenue in the quarter, with diagnostics representing 29% and research representing 26% of reported revenue. Organic revenue growth from our diagnostics business increased high single digits during the second quarter, driven primarily by strength in our newborn and prenatal screening and infectious disease testing solutions, which continued to be in strong demand throughout emerging markets. Birth rates continued to improve with a modest increase in the U.S. and a rebound in China. Once again, we saw solid performance from our SYM-BIO business, a leader in infectious disease testing in China, as organic revenues grew mid-teens. In Haoyuan, our Chinese blood screening offering continued to garner a large share of tenders in the quarter, and the business is now well positioned for the start of mandatory nucleic acid screening in 2015. Medical imaging revenues grew organically high single digits in the period, driven by growth in industrial applications, as well as strong demand for our new wireless cassette detector used in diagnostic imaging and veterinary applications. We continue to expect solid growth for the balance of the year as a result of emerging market investments in health care infrastructure and the increasing demand for our advanced medical diagnostics x-ray capabilities. Our research business declined mid-single digits in the second quarter, driven primarily by softness in academic end markets. We believe the slower release of funding in first half of the year plus lighter capital spending in Europe will start to improve in the second half. Moreover, global pharma and biotech customers are progressively targeting their spend on large molecules and clinical analytics, increasing demand for in vivo imaging, as well as informatics capabilities for predictive modeling. Moving to our Environmental Health business, which represented 45% of reported revenue in the second quarter, we served 3 end markets: Laboratory services, which represented 27% of reported revenue; environmental, which represented 17% of reported revenue; and industrial, which represented 8% of reported revenue. As I mentioned earlier, organic revenue in our Environmental Health business grew 2% in the quarter, driven by continued growth in our service offerings, which grew to mid-single digit organically. Organic revenue from industrial and environmental end markets was down modestly in the quarter but is expected to be improve as China demand strengthens and as our new product launches gain traction. In addition, we continue to see significant opportunities for our inorganic offerings as longer-term regulatory changes, such as USP 232 for trace metal analysis and prescription drugs, are broadly implemented. On the new product front, the AxION iQT mass spec began shipping in the latter part of the second quarter, and demand for this innovative new mass spec continues to build. Customer feedback has been very bullish, and we will continue to focus on the commercial ramp of this product in the back half of 2014. Demand also remained strong for our OneSource offerings as customers increasingly seek the right partner to help improve productivity in their lab. Turning to our margin performance in the period. Adjusted gross margins in the second quarter were 46.8%. We expect moderate improvement for the balance of the year as new products gain more traction in the second half. Adjusted operating margins in the second quarter were 16.8% as compared to 15.7% for the same period a year ago. We continue to experience strong adjusted margin leverage in SG&A and R&D from prior restructuring efforts. As a reminder from last quarter's call, our R&D spend is still expected to ramp higher, albeit more modestly in the back half of '14, as we to continue to efficiently add resources into our center of excellence in Hopkinton. By segment, adjusted operating margin in our Human Health business increased approximately 150 basis points to 23% as compared to 21.5% in the second quarter of 2013. The increase was primarily the result of sales mix, prior year productivity initiatives and restructuring activities. In our Environmental Health business, adjusted operating margins expanded approximately 70 basis points to 13.2% as compared to 12.5% in the second quarter of last year. The increase was primarily the result of savings from prior year restructuring activities and improved operating expense controls. On a non-GAAP basis, our adjusted tax rate for the quarter was approximately 21% and in line with our previous guidance. Adjusted earnings per share was $0.59 in the second quarter of 2014, at the high end of our guidance range, a result of strong margin realization on incremental revenues. Turning to the balance sheet. We finished the second quarter with approximately $895 million of debt and approximately $205 million of cash. We exited the quarter with a debt to adjusted EBITDA ratio of 2.1x and a net debt to adjusted EBITDA ratio of 1.7x. During the quarter, we repurchased 750,000 shares of the company's stock for approximately $35 million. Looking at our cash flow performance. Operating cash flow from continuing operations was $54 million in the second quarter and $123 million for the first half of 2014. I'm pleased to note that during the quarter, Moody's update -- upgraded our debt rating to a Baa3 stable, and we're now investment grade across all 3 agencies. Looking back at the first half of 2014 results. We are pleased with our organic revenue growth in a lower-growth environment, strong adjusted earnings per share of 22%, adjusted operating margin expansion of 160 basis points and very strong cash flow from operations. Operationally, it was a solid first half, and we continue to feel confident in our ability to deliver in our full year commitments. Looking to the third quarter of 2014. Adjusted revenues are expected to be in the range of $545 million to $555 million. Given our strong first half adjusted operating margin expansion performance, we remain confident in our ability to deliver at least 130 basis points of adjusted operating margin expansion for the year. Our share count and tax rate are expected to be consistent with the results in the second quarter, and cash flow is expected to remain robust in the second half as we continue to better leverage our working capital. In summary, adjusted earnings per share for the third quarter of this year are expected to be in the range of $0.55 to $0.57. For the full year 2014, we continue to expect our adjusted revenues to grow in the mid-single digit range, and we are reiterating our adjusted earnings per share guidance of $2.42 to $2.46. This concludes my prepared remarks. Operator, at this time, we would like to open up the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Mr. Ross Muken of ISI Group.
Vijay Kumar: This is Vijay in for Ross. Maybe I'll start off with -- on the guidance part, Andy. So sort of -- if you do the math on what the implied number for fourth quarter is, right, based off the 3Q revenue guidance, it implies high single digit organic in fourth quarter. Sort of -- can you just walk us through what gives you the confidence on that back half ramp?
Frank A. Wilson: Are you talking about the -- on the top line?
Vijay Kumar: Yes.
Frank A. Wilson: Actually, the top line, the way we've modeled the second half is essentially mid-single digit.
Vijay Kumar: Okay, great. And maybe one follow-up on the -- your comments on the Chinese blood screening market, pretty interesting. Can you help us -- in trying to size that market, what's the market opportunity? Who do you compete against? And sort of how do you feel about share price positioning from a pricing and a market share perspective?
Robert F. Friel: This is Rob. I -- we would say, right now, it's probably about a $50 million market for molecular nucleic acid testing in China. We think, probably over the next couple of years, that probably more than doubles with the significant pickup or improvement here in 2015. Relative to competitors, I would say, right now, relative to our market share, we think we're probably #2 and we continue to win a number of tenders. I think the one -- a disappointment has been -- is I think some of the funding has been delayed, consistent with what I think we're seeing in some of the other areas in China. But we do feel good about the opportunity to expand revenue fairly significantly in 2015.
Operator: Your next question comes from the line of Mr. Paul Knight of Janney Capital Markets.
Bryan Kipp: This is actually Bryan Kipp on behalf of Paul. So I just want to start off on the top line, I think, or just kind of going back with the first questions, in line with those. In context to your commentary, I mean, I'm thinking about the European market, I guess, specifically to start. What are you guys seeing there? And do you -- to get to that mid-single digit? What do you -- are you expecting kind of continuation of -- how it played out in the first quarter, do you think -- or second quarter, do you think it's going to accelerate from here?
Robert F. Friel: So I would say, as we think about Europe in Q2, it was down 2%. I think for the back half of the year, we think we can get that to flat or maybe slightly positive. And I think generally, when you look at the back half, what we believe will happen, as I mentioned in my comments, not a significant improvement from a market perspective. But really, what you're going to see is the impact of the new products start to really sort of drive more positive growth in both the geographies and the applications of markets. The other thing I would say is, clearly, in Q2, we were impacted and we saw some slowing in China, particularly with government tenders. And the area that we saw a fairly significantly -- impact for us was in the food safety area. As you may know, there's been consolidation of testing labs in China, the CDC, the CIQ and the QTSB was initially to supposed to be consolidated in the SFDA. That didn't go particularly well, so it's now being consolidated into our new organization called the Market Supervisory Bureau. I think as a result of those changes, from the government perspective, tenders has been delayed. We do believe, and we do assume in our forecast, that you see that come back probably in the latter part of Q3 and clearly, in Q4. So we do think we'd see some release of those tenders in the back half of the year until China returns to a more normal demand pattern. Because if you look in both environmental and the research area, our China business was relatively flat. And so we expect that to go back in the sort of high single, low double digit growth area. The diagnostic business was not really impacted by that, and continue to see strong growth there. So I would say that's one contributor to the back end growth. But probably more importantly, it's the new products getting traction. And in Europe, it probably goes from minus 2% to low single digits. In the Americas, which has been growing about 4%, we think that probably stays about the same in the back half. And the big change will be Asia with low single digits in the second quarter. And we expect that to migrate more to sort of mid to high single digit in the back half, which is even sort of down from what we've seen historically.
Bryan Kipp: Appreciate it. I guess, a follow-up to that, is the size of the tender deferral -- deferred tender in China, can you put some additional context behind that, maybe number-wise? And...
Robert F. Friel: I would -- go ahead.
Bryan Kipp: I was just going to say on the split on the core business for PerkinElmer relative to the new products, kind of what your thought is on the back half growth, whether it's a 50-50 split or kind of some color there as well would be helpful.
Robert F. Friel: Okay, great. So with regard to the impact of the tender, I would say that if you look at how our environmental business in China, you can sort of break it up in the sort of 4 end markets. You have the industrial, you have the sort of air and water and soil, you have the food and you have the pharma business. The food business, if you go back to Q2 '13, was 35%, 40% of our business. And that's the one that, for us, has been significantly impacted. The environmental, the air and water and the pharmaceutical and industrial was less impacted, but we saw a fairly dramatic slowdown in that business, again because of the tender delay. I would say another impact on that business was that if you go back to Q2 '13 and clearly, there was some tough comps because of the food scares that occurred in the first half of 2013, that was clearly factored into our guidance. But I don't think the tender delays or at least the severity of the tender delays was impacted as much as we experienced. With regard to the NP, the new product impact in the second half, we're saying that's probably going to be about 150 basis point improvement in growth just to calibrate, so -- across all the businesses.
Operator: Your next question comes from the line of Mr. Greg Schenkel of Cowen and Company.
Chris Lin: This is actually Chris for Doug today. So I just want to quickly talk about China again. When did you start experiencing the China funding delays, given that, last quarter, you know that it wasn't a big impact? So this was -- this seems a little bit surprising.
Robert F. Friel: Yes. I would say it was clearly -- as we've gone into the second quarter because we saw a good pipeline of orders. But what was happening was they kept continuing to be pushed out. And initially, it was -- it will be pushed, but we'll be able to do it within the quarter. But as we got to probably the middle of the quarter, we did see that it was just going to get to the crunch where that was going to be -- we were unable to do that. Consequently, we try and control a little bit of our costs, and that's why you're seeing strong margin improvement in the quarter. And we're able to still show good margin expansion and hit the top line of our guidance from an EPS perspective.
Chris Lin: Okay. And then just on the global economic demand weakness. So we haven't really heard this from many of your peers. So I guess can you talk about the specific geographies that were impacted? I know you called out Europe, but also called out global. So I guess why was there seemingly a delta with your peers?
Robert F. Friel: Yes. Well, I guess I might take a little exception on that one. I think we have heard so many other peers talk about academic weakness and clearly not academic strength, because we've seen it pretty much across the board. For example, if you look at NIH right now, the success of grants right now is at an all-time low. It's at about 16%, which is running about 50% below the historical trend. If you go to China, clearly, China's slowing down funding in the research area. Now we think that's going to start picking up a little bit here. And we have not seen much release in Europe from the Horizon 2020. So we think it's pretty pervasive across the entire globe. And I guess from my read of some of the transcripts, I think there was a number of competitors that pointed that out.
Operator: Your next question comes from the line of Mr. Isaac Ro with Goldman Sachs.
Isaac Ro: Just wondering if you could talk a little bit about what contribution from new products is baked into your guidance for the second half. I just went through some of the recent transcripts and presentations and was trying to track down exactly what was in the pipe here. I think you've identified a couple of them, but it sounded like there was also maybe some other -- maybe -- or perhaps unannounced products in the back half. I just want to kind of confirm that there's more products on the way, and just wondering how much do you think they'll contribute.
Robert F. Friel: We believe, right now, from a growth perspective, it's -- it adds let's say, at least 150 basis points. So if you think about a little more than a billion in the back half, sort of $1.2 billion, that's approaching's $17 million, $18 million, maybe we'll do better than that. But at least that's what's built into our forecast. I would say, if you go through the new products, and I'll try and hit them relatively quickly. I mentioned, on the imaging side, the Opera Phenix is -- will be shipping this quarter. That EnSight Multimode Plate Readers, that's shipping already. The LabChip Touch, that's shipping already. We talked about the Hybrid torch, which is in our Environmental area. And we've got a number of collaborations that we've announced. Sophie Bioscience brings our -- brings us PET imaging. And then, also, in the informatics area, we announced a new sort of collaboration internally with our High Content Screening business that we think will be -- will get some nice traction in the market. And like I said, that's already been introduced. But just give you a sense of some of the stuff will be impacting the back half.
Isaac Ro: Okay, that's helpful. And then maybe just on the SG&A side, I think your other question about the expense leverage you got there. It sounded like you were saying that wasn't really sustainable because it's obviously somewhat of a reaction to just sort of the bigger operating environment. So I'm wondering if you can kind of give us a sense of what's reasonable on the operating leverage, given the back half growth you're looking for. Just want to make sure that we understand kind of the nature of -- what kind of operating leverage is fundamentally available versus what sort of short term?
Robert F. Friel: So I think if you look at the second quarter, the operating -- or the incremental flow-through was close to 50%. I think, historically, we've talked about 35%, and depending on mix, maybe it could be a little bit better than that. We do feel like the new products will be better from a gross margin perspective. And clearly, when you look at the back half, while we still expect to have let's say, north of 100 basis point operating margin expansion, in our forecast, we anticipate taking R&D up and start to fill those jobs as we talked about previously. So I think in our forecast, we're assuming that we'll take our operating expenses up, but obviously doing it in a prudent manner that still allows us to have good flow-through and probably north of 100 basis point margin expansion.
Operator: Your next question comes from the line of Mr. Brandon Couillard of Jefferies.
S. Brandon Couillard: Rob, on the research business, can you peel back the onion a little bit for us and give us some more color in terms of the modest decline there between the product categories or customer end markets?
Robert F. Friel: Yes. So I would say, first of all, on the academic side, that was down fairly significant for us as I sort of alluded to before. We really saw across the board a pull back. And then combined with sort of this tender issue that clearly impacted the -- our research business as well, that was down sort of low double digits. Pharma was flat, and then what we saw in the informatics side was good growth in the analytics, so the Spotfire and the visualization offerings we have there. In the ELN area, we saw some softness there. And clearly, what's happening is our customers are moving from client server-based applications to both web and cloud-based. We mentioned last quarter that we introduced our Elements offering into the academic market, it will probably take us another quarter or 2 to get that out into the pharmaceutical industry. So we've got an issue right now where we've seeing an acceleration in the move away from client server, and it will probably take us a couple of quarters to catch up to that. And so that's having some impact on our research market as well. But fundamentally, difficult headwinds on the academic side, pharma's sort of flattish and informatics, sort of a tale of 2 cities, with analytics doing well and ELN facing some headwinds.
S. Brandon Couillard: And then, Andy, gross margins, down about 40 bps in the first half of the year. It sounds like you're looking for a nice improvement in the second half. Can you quantify the effects of mix and currency in the second quarter, and then kind of what you're discounting for the second half of the year?
Frank A. Wilson: Yes. We did have -- it was probably equally split between mix, which is primarily a ship to service, and rest was FX. And that was primarily the move in the pound and the euro on our cost base. So those combined were about half the miss. I think we assumed, going forward, that we should see some sequential improvement in the third quarter and some year-over-year improvement in the half, albeit modest, probably because of that mix in service. But we think that's going to tick up a bit because of the new products that should add some growth to the gross margin line on a year-for-year basis.
Operator: Your next question comes from the line of Mr. Dan Arias of Citi.
Daniel Anthony Arias: Rob or Andy, the instrument business looks like it comes up against some favorable comps next quarter. I think you guys are looking at down mid-singles, if I remember correctly. So I guess, with that as a backdrop and given what you're seeing out there, should we look for instruments to be up above the corporate average in 3Q? Or are some of the things you're seeing out there are going to have it more in lineage with PerkinElmer?
Robert F. Friel: Our forecast is for the corporate average to be mid-single. And so my expectation is the environmental business will be there as well. And so it will be hopefully a combination of service and instruments. I would say, right now, service may be a tad higher and instruments may be a tad lower, but we are expecting a nice rebound on the instrument business in the Environmental area, which will be partly easier comps, but also again, some of the traction from the new products.
Daniel Anthony Arias: Maybe just a high-level question on China, following the growth questions. Given the business mix that you have there, what do you think the revenue split might be, say a year from now, just in terms of diagnostics versus core instrument consumables? Just trying to sort of understand the pacing of the business mix.
Robert F. Friel: Based on Q2, the diagnostics grew significantly better. Now I don't know that, that's sort of a normal quarter for us. But if you continued on that trend within a couple of quarters, I don't know, within a year, but our diagnostic business could be probably close to the size of our Environmental business. But I don't think that's the right trend, because I do think our expectation is Environmental comes back and gets to sort of a high single, low double digit growth in the back half and continuing to '15. Diagnostics probably continues to grow high teens, maybe low 20%. So clearly, there's going to be a bias towards the diagnostic revenue. But I think if you go a year out, I think the Environmental business, it will still be greater than 50%. But the diagnostics, I think, continues to have very attractive macro trends, both on the infectious disease side with obviously the ramp up in the blood screening. And then, of course, we continue to see strong growth in both newborn and prenatal side.
Operator: Your next question comes from the line of Mr. Jon Groberg of Macquarie.
Jonathan P. Groberg: Rob, so maybe just digging in a little bit more, or maybe I didn't hear it quite right. But in Human Health, I think overall, you grew about 2% organically. And I think you were saying high single digits in diagnostics and imaging and then the mid-single digit decline in academics. Just wanted to...
Robert F. Friel: Yes. Mid-single digit decline in research and high-single digit growth in diagnostics and medical imaging, that's correct. But to your point, the research decline was driven by the weakness in the academic markets.
Jonathan P. Groberg: Right. I guess, I mean, it seems like from the mix of your business -- by the way, I guess, isn't the -- isn't your diagnostic business larger than your research business?
Robert F. Friel: No. Actually, they're pretty comparable in size.
Jonathan P. Groberg: Okay. Maybe I misheard Andy in terms of the mix -- the split of the business. And then on -- specifically on tenders in China, can you maybe quantify a little bit more in terms of the impact of that just in the quarter, and any numbers you can put around those?
Robert F. Friel: Well, as we mentioned...
Frank A. Wilson: [indiscernible]
Robert F. Friel: As I mentioned, it was largely felt in the area of our food safety business. And as I mentioned, if you go back to Q2 '13, that represented some 35% or 40% of our business. That was down year-over-year over 20%. Now some of that, we knew because of the spike we had last year. But clearly, a lot of that was a delay in tenders. So call it 35% of our Environmental business was impacted by the delay in tenders.
Jonathan P. Groberg: And given what's going on in China, still, it seems like a little bit of a mixed bag from listening to everybody. You're expecting that to go from -- you grew high single digits this quarter to going back to growing kind of high double in the second half of the year. Is that correct?
Robert F. Friel: Yes. I would say high teens is what we've experienced. And of course, a big driver of that is diagnostics. Diagnostics continued to do very well in the second quarter. They grew north of 20%. So our expectation is diagnostics continues on as it has been. And what we'll see is we'll see both the Environmental and the research business return to sort of mid to single-digit growth. If that occurs, then the overall China business will get more into mid to high teens.
Jonathan P. Groberg: Okay. And then sorry, lastly, on the -- your leverage levels are back down. You bought a little bit more stock this quarter. But I guess what are you thinking from an M&A perspective over the next 12 months or so?
Frank A. Wilson: I think we're really looking at capital deployment similar to the way we've looked at it in the past. I think first preference would be acquisitions. I think we -- right now, we've talked about our leverage. We'd probably, to get to the mid-2s, have $300 million to $400 million of powder. And I think our first priority would be to bring in some acquisitions. Absent that, I think we would look at buybacks. And the third is the dividend, and we continue to review that each quarter. But I think that would probably be the order I would prioritize them.
Operator: Your next question comes from the line of Mr. Zarak Khurshid of Wedbush Securities.
Zarak Khurshid: You mentioned prenatal earlier on the call as a source of strength. Were you referring to NIPT or serum screening? And generally, could you tell us what's going on with the Verinata relationship? We saw that they inked a deal with Progenity. What does that mean for you guys in the marketplace?
Frank A. Wilson: So first of all, when I was referring to the prenatal strength, it was -- for us, it was really outside the U.S. And while we saw strength in Europe, we saw good strength in the emerging markets, mostly China. So our strength is really coming sort of outside the U.S. from a prenatal perspective. I think with the Verinata relationship, I think it's similar to what we've said in the past where we are seeing good sort of uptake of the test. But the reimbursement or more specifically, getting paid cash, continues to move in the right direction, but it's slow. And so I would say, for us, NIPT is -- continues to be somewhat immaterial from a revenue perspective, and our expectation is that probably continues through the majority of the remainder of the year.
Zarak Khurshid: And then maybe another one on women's health. How are things going with the Good Start collaboration?
Robert F. Friel: So we're now distributing that, and it was, I mean -- I would say, it's early days. But I would say, the thing that sort of excites me about that is it allows us to really have a complete offering in the whole area of prenatal health. So obviously, with our NTD biochemical screen with the NIPT we referenced before, and now we're now bringing in the carrier screening from Good Start, we really -- as we have our discussions with our doctors, and it fits very well with our channel. It gives us that holistic offering. And so I think that's really important for us. Early days, and we'll just see how it does in the latter part of the year. But like I said, we're -- it's in our channel and we're starting to sell.
Zarak Khurshid: Sounds good. One last one for me, just on the SYM-BIO business, sounds like the strength -- there's continued strength there. Could you just talk about what do you think the potential opportunity or the total opportunity there is? And what inning do you think we're in today for that business?
Robert F. Friel: So I think we're early days. I think there's a significant opportunity when you look at -- first of all, the growth in the middle class in China, over next couple of years, is going to put tremendous pressure on health care system within China. And so our ability to provide, at a very good cost and a very good quality, infectious-disease testing, and now adding on to that the ability to do blood screening. We think this is a business, which, today, call it $50 million, over the next couple of years, could be well north of $150 million, $200 million.
Operator: Your next question comes from the line of Mr. Derik De Bruin of Bank of America Merrill Lynch.
Derik De Bruin: So just I keep -- hate -- I hate to keep beating on this, just on the terrific confidence in the back half ramp, can you give us some sort of like backlog number? To just give a sense of what you've already -- so feel confident that you booked for the back half?
Robert F. Friel: Yes. I would say, the backlog, we haven't sort given historically. Not that we couldn't give it, I just -- it hasn't been as meaningful a number because a good portion of our business is really bookings shipped. So I guess, what I would say is if you look at orders through the month of July, we're up high single digits. So I think that gives us the confidence that we do expect to see a pretty good ramp here in both Q3 and hopefully, into Q4. I would say that fact -- and I would say, and the other thing is we are seeing good receptivity to almost all of the new products that are out there. So I think the combination of that, combined with what we saw was pretty good order strength during the month of July, it gives us the confidence to reiterate the guidance for the year and talk about getting back to mid-single digit top line growth for Q3 and Q4.
Derik De Bruin: Okay, that's helpful. On the imaging business, I'm talking about the in vivo imaging, I know there's starting to be some more competitors in that market. And I know there's some patents that are rolling off from some of the Caliper products. I guess, can you talk about how that in vivo end market is sort of -- your expectations for that sort of going forward and sort of how that is? And I guess, this sort of leads into the question about -- if you sort of -- we haven't heard about some of the other aspects of the old Caliper business in terms of some of the automation platform that's been added. So just I think sort of what's going on with that business and the various segments would be helpful.
Robert F. Friel: Yes. Obviously, first of all, the expectation for the in vivo imaging business is -- continues to be high single digits. In fact, if you look at the U.S., it had very nice growth in the U.S., but had some significant headwinds outside. Again, we think that's unique to Q2 and as I mentioned, some other research headwinds or academic headwinds that we face. But I think we continue to feel good about high single digit growth. I think the opportunity is to take this business and particularly some of the other imaging capabilities that we've got from Caliper and move them into some adjacent markets. And the one that we're fairly excited about is we think some of competencies from Caliper combined with some of the things we historically had at PerkinElmer can give us a nice offering into the quantitative pathology market. And so I think when we look at the opportunity to broaden out the applicability of our imaging capabilities, we feel very good about single -- high single digit growth and maybe even getting into the low double digit.
Derik De Bruin: Great. Andy, could you just sort of go over the gross margin again over the quarter? I know, last quarter, it was down about 100 bps because of the FX headwinds impacts. So what is it -- was it sort of like just the lower volumes that was the impact in the gross margin this quarter?
Frank A. Wilson: Well, there are really 2 pieces in the lower volume, obviously, has some impact. But it was primarily FX, and as I mentioned, it was the euro and the pound. And the other piece was a mix within the portfolio with the higher percentage of service and the instruments versus prior year. And as I also indicated, we think that will improve in the second half, just given new product introductions and given some strength we think we see in the order rates on instruments as we go into the third quarter.
Operator: Your next question comes from the line of Mr. Bill Quirk of Piper Jaffray.
Unknown Analyst: This is Alex Novak [ph] on for Bill. I was wondering if we could get an update on how the China newborn screening is going.
Robert F. Friel: Well, I think we continue to see nice growth in China on our newborn. With regards to the rollout, are you talking about our collaboration with the western provinces? And I would say that continues to go well. It's on track. And well, as I think we mentioned in the past, that probably doesn't have a dramatic financial impact in '14. It really seeds the market for continued growth as we get into '15 and later years. But it continues to go well. And as I said, we continue to see very good growth in traction within the newborn business. I would say emerging markets broadly, but specifically in China.
Unknown Analyst: Okay, great. And then staying on newborn, there was a Wall Street Journal article this morning on the impact of stem cells for treating SCIDs. And how the -- and how more states might be pressured into including their test for the newborn screening requirements. What are your kind of -- what are your thoughts on this? And what have been the conversations with states that are not currently offering the test?
Robert F. Friel: So one of the challenges with SCIDs has been -- there's -- we do not -- we have not received FDA approval yet for our tests. It is in with the FDA. And as I'm sure everyone on the phone knows, that's a little bit hard to predict. And so our response has been because obviously, this is a critical need from a health care perspective, is -- and we've been setting up what we call labs in a lab. And so in a number of states, we actually go in, PerkinElmer employees, and do the testing within the labs. And we've had good success there, but it's limited the ability for the states to do SCIDs testing. So one of the hopes is that, as more and more of these articles come out, maybe has some impact on accelerating the approval of our FDA kit or kit for SCIDs. But again, the way we're trying to deal with this is that for our people in the labs to continue to sort of permit or allow the testing of this incredibly debilitating disease that there's a cure for, as you pointed out. And we want to be able to have as many children as possible have the opportunity to be tested for it.
Operator: Your next question comes from the line of Mr. Tycho Peterson of JPMorgan.
Tycho W. Peterson: Just a couple of follow-ups to questions that were asked earlier. Derik's asked a question about imaging, commenting a little about the medical imaging business. I mean, is there a chance you could see some acceleration there? It's been a tough business for a while. But with the work you're doing in PET and CT, do you potentially expect that to pick up a bit?
Robert F. Friel: Yes. I think it was a possibility, as we sort of mentioned before, is we continue to look at sort of adjacencies of where we can take our competencies and our capabilities. So I wouldn't be surprised to see improved growth in those areas.
Tycho W. Peterson: And then, on China, I mean, you've had a ton of questions on it. But are you baking anything in for the net tender in terms of stocking ahead of mandated testing in '15?
Robert F. Friel: No, not significantly. Like I said, I mean, the one area that's been a little disappointing there is the funding for that has been so much delayed, the Chinese government. And so maybe there'll be this sort of big ramp-up in the last 5 or 6 months, but we're not baking that into our forecast.
Tycho W. Peterson: And then how big an opportunity do you think that could be in '15 for you guys though once they do migrate to net?
Robert F. Friel: It probably goes in '15. It's probably a $10 million to $15 million opportunity for us. Today, at most, single millions, so it's...
Tycho W. Peterson: And then I know you had a question earlier on M&A and just thinking a little bit about the landscape, can you maybe talk about your appetite for larger deals? I mean, you've largely focused on bolt-ons. But how do you think about potentially doing some [indiscernible]
Robert F. Friel: Yes. I think we'll continue to focus on those deals. I mean, I think that they reduce the level of disruption to the business. And so I think our focus, to a large extent, has been on, I would say, smaller deals. As I think I've mentioned in the past, I would like the average size of our deal to go up. I think if you look over the last couple of years, our deals have been sort of sub-100 from a value perspective. I'd like to get them up a little bit, more meaningful from a revenue and an OP impact perspective. But I still think that's going to be the major focus of our efforts.
Tycho W. Peterson: So what's the maximum leverage you think you'd be willing to take on?
Robert F. Friel: Well, I don't know that I ever wanted to set a maximum. I mean, if you look at the Caliper deal, that put us in the sort of mid-3s. And so we went to that because we felt pretty confident that we could get back to the mid-2s in a relatively short period of time, which we were able to do. So I mean, I don't know, Andy, if there's a different view, but I...
Frank A. Wilson: Our comfort is in the mid-2s. We would lever up if we saw an ability to bring that down quickly. But I would say it just kind of would be event specific.
Operator: Your next question comes from the line of Mr. Jeff Elliott of Robert W. Baird.
Jeffrey T. Elliott: Most of my -- have been asked already, but -- so I'll just ask one here on the Elm product. Can you talk about your ability to monetize that product and perhaps expand that into other adjacent markets?
Robert F. Friel: So I think those are the things we're in discussion right now with some of the cities and some of the other communities. And so I think when you talk about when we launched it, this is an exciting product. It got some interesting capabilities and technologies. And from a financial perspective, while we don't think there's going to be significant impact in '14, I think as we get into '15, we hope to see some revenue that as we have a have a better perspective on whether this is a sort of subscription model, whether we're selling data, so on and so forth. So I think that's still to be worked out, and it may vary a little bit by the individual customer.
Jeffrey T. Elliott: Got it. And then could we just get an update on pricing, what you're seeing across the portfolio?
Robert F. Friel: I would say, it varies a little bit by business. But I think for -- if you look the company in total, it's probably even relatively flat relative to the impact on gross margins.
Operator: Your next question comes from the line of Mr. Eric Criscuolo of Mizuho.
Eric Criscuolo: So just on the -- it looks like there was about a $15 million delta between your results and your 2Q guidance for the top line. And I know you said that there was the basically, the China timing issue and the academic weakness. Could you maybe quantify or put a percentage on which -- how much came from each basket of the miss?
Robert F. Friel: Yes. So I would say, first of all, I mean, as we sort of reconciled to, let's say, the midpoint of the guidance, there's a couple of million dollars that were associated with signature that one ended discontinued. Not that there was a big number, but just sort of to help reconcile. And then as we think about it, we think there's probably about a $7 million to $8 million impact from China and probably about a $4 million to $5 million impact from the research slowdown attributable to the academic. So that's how we would sort of quantify the impact of the 2 items that I talked about.
Eric Criscuolo: Great, that's really helpful. And on the academic environment, could you just tease out by geography, North America, Europe, Asia, how those 3 segments did this quarter?
Robert F. Friel: The 3 geographic segments by academic?
Eric Criscuolo: Yes, just academia.
Robert F. Friel: Yes, I would say, clearly, Europe was down fairly significantly. And again, one of the things, when you look at these numbers, is it's also taking into consideration sort of comps year-over-year. And so Europe and the research, the academic market was very strong in Q2. That was driven by some in vivo imaging placement. So it's a little bit distorted when you start to go down by segment, by region because of the comps. But what you see is U.S. was sort of positive, Europe was down significantly and APAC was down, largely driven by softness in China.
Eric Criscuolo: Got you. And then just lastly, as you went through the quarter, did you start to see signs that the academic trends were improving in those geographies?
Robert F. Friel: I would say that we -- as we went through the quarter, not as much. But as we're now into the third quarter, we are starting to see some improvement in the trends. And I think that's all factored into the sort of 8% growth in orders that we saw through July.
Operator: Your next question comes from the line of Mr. Steve Willoughby of Cleveland Research.
Steve Willoughby: The first one is just a follow-up to the last question as it relates to the improved orders you've seen so far here in the third quarter. I was just wondering what's driving the improvement versus what you saw in the second quarter. It sounds like maybe academia is getting a little bit better. Have you seen any of the orders in China have come through yet, if you could just maybe talk about that [indiscernible]?
Robert F. Friel: Yes. I would say it's 3 things. I think we are seeing a little bit of improvement in China, we're seeing some improvement on the research side and we're seeing the new products. And I think the combination of those 3, which is, really, I think, the basis for, call it just under 4% in the first half to something in the sort of 5% to 6% in the back half.
Steve Willoughby: Okay, got you. And then just secondly, SG&A, I understand, obviously, the quarter is a little bit slower from the top line. You pulled back a little bit, it sounds like, on operating expenses. As we think about SG&A in dollars or in the back half of the year, I would suspect that it would probably be up a bit from what you spent, $137 million or so you spent this quarter. But how much of a step up-up are you expecting in the back half of the year with regards to SG&A?
Frank A. Wilson: Yes. It will step for -- in total, SG&A for -- really, a key reason is in the second half, we're going to be lapping with first, probably have some additional spend because we're in R&D. But if you just look at SG&A by itself, we had some restructuring that took place in the second quarter last year, and we're -- we'll be lapping that in the second half of this year. And so there will be some headwinds there. So and it will be an increase in the percentage. But it won't be a dramatic increase in dollars.
Steve Willoughby: Okay. And then just the final thing is can you guys kind of go through what your thinking is on share repurchases, about $35 million this quarter? A couple of quarters before that, you hadn't been buying any. So just how do you think about the timing of your share repurchases?
Frank A. Wilson: Well, I think what we said at the beginning of this year, and I think what is consistent is at the minimum, we said we wanted to keep our share count flat for the year. And I think that still holds true. I think if we look at the opportunities on the M&A side, I think that will then help us decide what we want to do on the buyback side. But again, as I mentioned before, I think our first priority is to bring in some acquisitions that can add some profit, and the second would be the share buyback. So -- but we'll be looking at that constantly as we go through the second half of this year.
Operator: Your next question comes from the line of Mr. Paul Knight of Janney Capital Markets.
Bryan Kipp: Just a quick follow-up. On the Hopkinton facility, I know you guys kind of talked about the step-up in costs. I think you alluded to in the past $2.5 million in incremental costs associated with new hires. How far along are we in that? And did you step back in 2Q and expect to ramp in 3Q and 4Q?
Frank A. Wilson: Well, there's a couple of factors, Paul. This is Andy. One is, I think the savings we're getting from some of the overhead is a little better than we thought, and we're -- the number of people we're hiring is a little less than we thought. I think we've done a nice job of efficiently building out Hopkinton. But I think what you'll see is from the second quarter, the third quarter will step up a little over $1 million and then another $1 million on top of that in the fourth quarter. So the second half is going to be north of $4 million higher than the first half. And I'm sorry, it's Bryan, not Paul.
Operator: There are no further questions in the queue. I would now like to turn the conference back over for closing remarks.
Robert F. Friel: Okay. First of all, thank you for your questions. And just in closing, I want to reiterate that we feel very good about our progress to date and believe we have good traction towards accelerating our growth while creating differentiated value for our shareholders, customers and employees. Thank you for your continued interest in PerkinElmer. Have a great evening.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you so much for your participation. You may now disconnect, and have a great day.